Operator: Good morning, ladies and gentlemen, and thank you for standing by. At this time, I would like to welcome everyone to the Stellus Capital Investment Corporation’s Conference Call to report Financial Results for its Third Fiscal Quarter Ended September 30, 2022. At this time, all participants have been placed on a listen-only mode and the floor will be open for a question-and-answer session following the speakers’ remarks. This conference is being recorded today, November 04, 2022. It is now my pleasure to turn the call over to Mr. Robert Ladd, Chief Executive Officer of Stellus Capital Investment Corporation. Mr. Ladd, you may begin your conference.
Robert Ladd: Okay. Thank you, Allen. Good morning, everyone, and thank you for joining the call. Welcome to our conference call covering the quarter ended September 30, 2022. Joining me this morning is Todd Huskinson, our Chief Financial Officer, who will cover important information about forward-looking statements as well as an overview of our financial information.
Todd Huskinson: Thank you, Rob. I’d like to remind everyone that today’s call is being recorded. Please note that this call is the property of Stellus Capital Investment Corporation and that any unauthorized broadcast of this call in any form is strictly prohibited. Audio replay of the call will be available by using the telephone number and PIN provided in our press release announcing this call. I’d also like to call your attention to the customary Safe Harbor disclosure in our press release regarding forward-looking information. Today’s conference call may also include forward-looking statements and projections, and we ask that you refer to our most recent filing with the SEC for important factors that could cause actual results to differ materially from these projections. We will not update our forward-looking statements unless required by law. To obtain copies of our latest SEC filings, please visit our website at www.stelluscapital.com, under the Public Investors link or call us at 713-292-5400. At this time, I’d like to turn the call back over to our Chief Executive Officer, Rob Ladd.
Robert Ladd: Okay. Thank you, Todd. I am pleased to report our results from the third quarter, in which we grew our investment portfolio to $872 million, maintained the asset quality and notably generated $0.37 per share of GAAP NII. We continue to benefit from the rising interest rate environment as the yield on our loan portfolios now risen approximately 140 basis points from the end of the second quarter. We continue to see many interesting opportunities and as a result, had funded approximately $57 million on a cost basis during the third quarter. Todd will begin by discussing our operating results, followed by a review of the portfolio, including asset quality, our dividend strategy, and then I'll cover the outlook.
Todd Huskinson: Thank you, Rob. For the quarter ended September 30, 2022, we covered our total dividends, both regular and additional of $0.34 per share with net investment income of $0.37 per share. Core net investment income was $0.35 per share, which excludes income tax expense related to our spillover income, and this quarter included a $600,000 reversal of the capital gains incentive fee accrual. Primarily as a result of widening credit spreads during the quarter and some write-downs on specific positions, our portfolio valuation declined $4.8 million quarter-over-quarter. However, we had $1.5 million of net realized gains from realizations in our equity portfolio. I'd like to now cover the following areas: Our life-to-date review, portfolio and asset quality and dividends. Since our IPO in November, 2012, we've invested approximately $2.2 billion in over 775 companies and received approximately $1.3 billion of repayments, while maintaining stable asset quality. We've paid over $202 million of dividends to our investors, which represents $13.01 per share to an investor in our IPO in November, 2012. We ended the quarter with an investment portfolio at fair value of $872 million across 89 portfolio companies, up from $852 million across 83 companies at June 30, 2022. During the third quarter, we invested $56.9 million in seven new and 19 existing portfolio companies, all of which were first lien unitranche with a weighted average yield of over 10%. In addition, we received $34.2 million of repayments for net portfolio growth at cost of $25.5 million for the quarter. Overall, our asset quality is stable at a two on our investment rating system or on plan. 82% of our portfolio is rated at two or higher, meaning at or above plan. Thus, 18% of the portfolio is marked at an investment category of three or below. In total, we have four loans on non-accrual, which comprise 2.5% of fair value of the total loan portfolio. This is effectively unchanged from four loans on non-accrual at June 30, which comprise 2.8% of fair value  With respect to dividends, in addition to our regular dividend of $0.28 per share in the aggregate for the fourth quarter, our Board declared an additional dividend for the fourth quarter of 2022 of $0.06 per share in the aggregate or $0.02 paid per month. As we discussed last quarter, this additional dividend is based on the significant realized gains we are generating, $23.7 million in 2021 or $1.22 per share, $4.7 million year-to-date in 2022 and expected additional realized gains in the fourth quarter. This combined $0.34 dividend each quarter represents based on yesterday's stock price at close of $13.36 per share, an annualized yield of 10.2%. And with that, I'll turn it back over to Rob to cover the outlook.
Robert Ladd: Okay. Thank you, Todd. Looking ahead, our outlook is very positive as we see an increasing net investment income and return on equity profile. It appears that higher interest rates are here for the foreseeable future. Our largely floating rate investment portfolio, coupled our largely fixed rate liability structure, should mean an NII per share in excess of our regular dividend and the additional dividend program, which we have had in place for now a year. As a result, we expect that in January, we will combine the regular and additional dividends into a regular dividend of $0.34 per share for the quarter, which is a 21% increase in the regular dividend. Further, assuming that our benchmark pricing rates LIBOR and SOFR stay at their current levels, if not rising, we would likely look at raising the new regular dividend in January to a level above the $0.34 per share, more to come in January on that. Relative to equity gains, notwithstanding a slowing economy, we continue to see the benefit of equity gain realizations. As noted earlier, we've had $4.7 million net realized gains this year through September 30 and expect more in the fourth quarter. With respect to new investments and repayments, we've had a very productive year for new investments with less than normal repayments as you've heard on previous calls, however, repayments are now picking up. As a result, we would expect repayments for the balance of the quarter to approximate new fundings. And Ally, we will now open up for questions and answers.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] Our first question is coming from Paul Johnson with KBW. Sir, please ask your question.
Paul Johnson: Yes. Good morning. Thanks for taking my question. First question, just kind of wondering about your portfolio and kind of how you're thinking about, I guess EBITDA performance year-to-date as well as other fundamentals, just kind of like interest coverage, that sort of thing. As you're getting updates on your portfolio companies here more recently, how does that compare, I guess to the prior year? Yes, and just any commentary on your portfolio companies would be helpful.
Robert Ladd: Sure, Paul. Thank you for joining this morning. Relative to EBITDA performance across the portfolio, we actually have a slightly improving profile as we go through the year, so no concerns there. Certainly with higher interest rates, interest coverage will drop some, but we think that the amount of increase is not material relative to people's ability to pay. So far we've seen, as Todd reported a stable portfolio, stable performance always company specific issues, so portfolio is in pretty good shape.
Paul Johnson: Got it. Thanks for that. And then I'd just ask you, as far as maybe what you're seeing in the middle market in terms of just spreads and terms in the deals that you're seeing, if there's been any market improvement there that you expect to potentially take advantage of just given the level of repayments coming in over the next quarter or so?
Robert Ladd: Sure. We're very active. There's been a little bit of a slow down, but we're finding private equity firms who have significant dry powder are continuing to be acquisitive. In terms of the terms of deals, they're pretty much the same as they've always been, typically seeing equity checks of approximately 50% of the capital structure. Important covenants, I'd say that spreads and pricing have maintained fine our normal fee structures. So I'd say not a material change and probably seeing the slight improvement. We've certainly noticed in the upper middle market higher pricing and that's starting to translate into the – where we operate more in the lower middle market, but no big change. Same business we've been running and expect to be busy again in 2023.
Paul Johnson: Appreciate that. My last question, I think, you've been pretty clear over the last few years, and I guess you've shifted the portfolio to more senior secured assets, obviously, probably not a high demand for junior capital at the moment, but there may come a time obviously as we move through this cycle where that begins to potentially look attractive. Again, I'm just wondering if that's potential opportunity that you're looking at of increasing exposure once again to junior capital type of loans in the future or if you're looking at more just kind of stay the course with what you've been doing with mainly just senior secured portfolio?
Robert Ladd: Sure, Paul. So you're good to note that strategic shift. So that will continue. We're not interested in junior capital. Occasionally, there might be something of interest for the sponsor, we know really well, but I'd say that think of us going forward as was evidence in this quarter where we're all in the first lane unitranche mode.
Paul Johnson: Got it. Appreciate. Thanks, Rob. That's all for me.
Robert Ladd: Yes. Thank you, Paul.
Operator: Thank you. Our next question is coming from Christopher Nolan with Ladenburg Thalmann. Please go ahead.
Christopher Nolan: Hey, guys.
Robert Ladd: Good morning, Chris.
Christopher Nolan: Rob, are there any industry sectors which you guys are sort of emphasizing more now given the change in interest rate environment and less than others?
Robert Ladd: Chris, the approach we take to investing is which we've had really from inception is really looking for significant free cash flow generating businesses that also have a growth profile. And so – and as a result, which means low maintenance capital expenditures. And so that's what we'll continue to focus on. And yes, they do well in a rising interest rate environment in that they can manage, so they can certainly handle an increase in the base interest rate. So I'd say no change from the past, but continued focus on significant free cash flow generating businesses.
Christopher Nolan: Great. And then as a follow-on to your comments in terms of increasing the base dividend starting in January, were your comments about the NII covering the dividend, would that extend into 2023 given what you guys can currently see in terms of the outlook?
Robert Ladd: Yes. So I'd say a couple of things. One, as I indicated in the remarks that it is clear now given our asset liability mix that we have the NII to more than cover the combined dividend. So we're going to go back to a regular dividend of our original $0.34 per share per quarter, $1.36 a year, and of course, paid monthly. So this is kind of the starting point. And then given that rates have even increased since 9/30, and if that holds, it would indicate earnings potential greater than that always subject to any additional non-accruals, but we don't expect those to be material. So if that holds out, we're going to have the capacity to potentially pay a higher regular dividend, but we'll start with a new regular dividend of $0.34 a share in January payable monthly. And this would of course subject to Board approval.
Christopher Nolan: Final question, should we expect more volatility on NAV per share, given the higher discount rate use in free cash flow valuations and also the differences in how different companies handle the higher interest rate load?
Robert Ladd: Yes. Not expecting material change there. Obviously, if you get a real widening in the spreads, that's the most impactful impact. You will have a higher discount rate in a higher interest rate environment. But remember, offsetting that is the higher forward coupons that are coming in as the cash flow. So I wouldn't expect a higher interest rate environment on a model to be impactful. It would be the spreads if they widen more and it would be more company-specific performance.
Christopher Nolan: Great. That's it for me. Thank you.
Robert Ladd: Yes. Thank you very much, Chris.
Operator: Thank you. Our next question is coming from Sean-Paul Adams with Raymond James. Please go ahead.
Sean-Paul Adams: Hey, guys.
Robert Ladd: Yes. Good morning, Sean.
Sean-Paul Adams: It looks like part of my question's already touched on, but it looks like you guys have the highest net interest margin exposure to base rates from any BDC under coverage, especially among the peers. So I just wanted to get a little bit of your outlook on base rates for 2023?
Robert Ladd: Yes. And – sorry, Sean, just to clarify the base rate of our investment portfolio.
Sean-Paul Adams: Yes.
Robert Ladd: Yes. So the LIBOR rate, so we still have a majority of the loans on LIBOR as a base rate with some new loans we're certainly under SOFR, but those rates are basically over 4% today. They were under 4% at 9/30. And so if we just follow the forward curve, you're going to have a higher rate than that in 2023, which is the market's best estimate. But what I'm describing is really just take the current rate LIBORs in the mid-fours, SOFRs in the low-fours, and that would be our assumption for 2023.
Sean-Paul Adams: Thank you.
Robert Ladd: And one thing that you've noted, Sean, is that what we're also benefiting from, if you think of our liability structure, you have roughly $200 million of kind of average bank borrowings, which are floating, but the rest of the liability structure is roughly $300 million of SBIC debentures that have an all-in cost in the low-threes and in our notes, which were issued in March of last year, and they have a coupon of four and seven eights. So this is where we're really – you're going to see a meaningful increase in the margin as a result of this asset liability mix and roughly 97% of our loan portfolio is floating.
Sean-Paul Adams: Got it. Thank you, guys.
Robert Ladd: Yes. Thank you.
Operator: As there are no further questions in queue at this time, I would like to turn the call back over to Mr. Ladd for any closing comments.
Robert Ladd: Okay. Thank you very much everyone for joining. Thank you for your continued support and we look forward to speaking with you in the New Year. Take care.
Operator: Thank you, ladies and gentlemen. This does conclude today's conference call. You may disconnect your lines at this time and have a wonderful day. And we thank you for your participation.